Operator: Ladies and gentlemen, welcome to the PerkinElmer Third Quarter 2022 Earnings Call. My name is Glen, and I'm your moderator for today's call.  I will now hand you over to your host, Steve Willoughby to begin. Steve, please go 
Steve Willoughby: Thank you, operator. Good morning, everyone, and welcome to PerkinElmerâs third quarter 2022 earnings conference call. On the call with me today are Prahlad Singh, our President and Chief Executive Officer; and Max Krakowiak, our Senior Vice President and Chief Financial Officer. If you have not yet received a copy of our earnings press release or slide presentation you may find copies of them on the Investors section of our website. Please note that this call is being webcast and will be archived on our website. Before we begin, I would like to remind everyone of the Safe Harbor statements that we have outlined in our earnings press releases issued earlier this morning and also those in our SEC filings. Statements or comments made on this call maybe forward-looking statements, which may include, but are not necessarily limited to financial projections or other statements of the company's plans, objectives, expectations, or intentions. These matters involve certain risks and uncertainties. The company's actual results may differ significantly from those projected or suggested by any forward-looking statements due to a variety of factors, which are discussed in detail in our SEC filings. Any forward-looking statements made today represent our views as of today. We disclaim any obligation to update these forward-looking statements in the future, even if our estimates change. So you should not rely on any of today's forward-looking statements as representing our views as of any date after today. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of the non-GAAP financial measures we plan to use during this call to the most directly comparable GAAP measures is available as an attachment to our earnings press release. To the extent we use non-GAAP measures during this call that are not reconciled to GAAP, we will provide reconciliations promptly. Iâll now turn it over to our President and Chief Executive Officer, Prahlad Singh. Prahlad?
Prahlad Singh: Thanks, Steve, and good morning, everyone. We achieved yet another excellent quarter in Q3, both financially and operationally again exceeding the financial commitments we have provided. This consistency in our results is a testament to both the resilient and reliable execution of our teams and the significant transformation of the company itself over the last several years. We have worked diligently to transform the company into an organization that functions at an exceptionally high level with strong operational and financial rigor. While at the same time strengthening our corporate culture and making a positive impact in the communities where we live and work. I'm especially proud that our team has continued to execute at a high level, while many individuals both internally and externally have been extremely busy over the last 90-days working through the necessary steps to ensure that the divestiture of our analytical, food and enterprise services business is accomplished with precision and on time. As it pertains to the planned divestiture, our teams are collaborating well and New Mountain Capital has been a great partner that has been appropriately engaged to ensure a smooth transition. We remain on track to complete the transaction in the first quarter of next year and to then unveil to the public a new corporate name, brand, and identity for the Life Sciences and Diagnostics business. While businesses are always evolving with the culmination of the closing of the divestiture and the rebranding of the remaining business, it will mark the completion of the major portfolio transformation we have undertaken over the last several years. We are very happy with the strength of our balance sheet and we'll look to redeploy the nearly $2 billion of after tax proceeds we will receive from the divestiture through a combination of funding upcoming debt maturities, opportunistic share repurchases and of course continued strategic and value creating M&A. Upon the transaction closing, we will become a more simplified company with over 80% of our revenue recurring in nature and nearly zero exposure to more cyclical end markets such as industrial, applied and environmental. We expect the Life Sciences and Diagnostics business to generate 10% percent organic growth and 30% operating margins following the divestiture with even stronger working capital dynamics consistent with the outlook we provided at the deal announcement last quarter. I appreciate all the effort that is going into completing this transaction by many of our employees, who are demonstrating their tenacity by simultaneously executing flawlessly on day-to-day operations, as evident in our strong third quarter results announced today. As it pertains to our third quarter results, I'm pleased to see the company again exceeded our initial expectations by generating 9% pro forma non-COVID organic revenue growth in the quarter, ahead of our 6% to 8% guidance. While FX was again a greater than anticipated headwind, the business was able to mitigate the impacts leading to pro forma adjusted EPS in the quarter of $1.51, solidly above the $1.40 to $1.45 we were anticipating. Max will provide more details later, but I was glad to see our Life Science business continuing to show outstanding performance by again growing in the double-digits, while the significant headwind from China lockdowns on our diagnostics business was in line with our expectations. This trend leads us to again increase our pro forma a non-COVID organic growth and pro forma adjusted EPS guidance for the full-year. All in all, heading into the end of the year, we are performing at a very high level across our entire business, including those divisions that we intend to divest. I'm looking forward to the first quarter of next year when we expect to begin operating as a more streamlined and focused high growth, high margin business that has leading positions in several attractive end markets. Our new Life Sciences and Diagnostics company will be dedicated to helping close the chasm between research in the lab and entering clinical trials and then from those trials to hopeful cures. I believe that our focus on enabling customers to invent and developing the next groundbreaking therapeutic or to effectively diagnose disease, we can build on the impact we are already having on global health and can meaningfully further improve the quality of life around the world in the years to come. Our increasing contribution to Global Health has always been driven by the new innovations we consistently bring to the market, who meet and anticipate customer needs in an ever changing field of science and health care. This innovative spirit was evident again over the last few months as we introduced a number of exciting new products across the business. In our Diagnostics business, our Oxford Immunotec franchise received FDA approval in late September for its T-cell select reagent kit and related complete workflow. This new workflow significantly increases the use of automation for our clinically superior T-SPOT .TB test for latent tuberculosis, dramatically reducing the amount of manual hands on time required to complete the test. I'm excited to see the impact that this even more competitive offering can have on this business over the coming quarters. As the U.S. market represents more than half of the global IGR and latent TB testing market, one in which Oxford has historically been underpenetrated. In our Life Sciences business, in addition to regularly introducing 100s of new consumables, antibodies and reagent kits each quarter, we recently launched the Celleca PLX system and workflow from our  (ph) business. This new system builds upon its existing highest revenue generating line, the nexolon business MX. The Cellica PLX is unique in the industry as it combines image cytometer with cell counting, allowing for scientists working in cell and gene therapy to perform both cell identification and cell viability work all in one instrument. This platform utilizes proprietary consumables that contain antibodies from our BioLegend business, as well as user friendly software, resulting in simplified scientific workflow, while also improving cell integrity. This is made possible due to the less potential cell damage as a result of reduced manual interaction throughout the analysis. Alongside positively contributing to the advancement of global health by leading with science, we also remain very focused on how the specific actions we take can impact our people and our communities. In our latest ESG report, which we published just yesterday, we highlight the significant progress we are making in these areas, from recently signing on to support the UN Global Compact to increasing our commitment to reducing our Scope 1 and 2 emissions by 50% by 2032. We are providing increased transparencies in areas such as our emissions, our diversity and our enhanced government policies. I encourage you to read more in the report and on our new ESG dedicated website, esg.perkinelmer.com. Moreover, itâs encouraging to see several third-party ESG rating agencies recognize our progress by recently, either upgrading or improving our various scores within their respective rating platforms. In closing, before I turn it over to Max, I again want to thank all our employees for their dedication and strong execution over the past few months, which has continued to enable us to perform at a very high level. This strong and consistent execution over not just the last 90-days, but over the last several years, during the time when there has been significant change occurring inside the company and around the world, has been what has allowed us to position both the business we intend to divest and the remaining Life Sciences and Diagnostics business on strong foundations for future success. I'm highly confident in our ability to continue to execute over the coming months as we complete the divestiture and look to redeploy the proceeds in the most value creating way possible. All while achieving the strong financial outlook, which we have outlined. With that, I would like to turn the call over to Max to provide more specifics on our recent performance and an update on our outlook. Max?
Max Krakowiak: Thanks, Prahlad, and good morning, everyone. I'd like to start by saying itâs been a pleasure to meet many of you over the last couple of months, and I look forward to connecting with many more of you in the near future. As Prahlad highlighted, we've had an active, but productive last few months in which our teams have been able to continue to perform at a very high level. This is evident in our strong Q3 performance, despite continued macro pressures, as well as the incremental activities many have undertaken internally since we announced our proposed divestiture back in early August. From a high level, we had another terrific quarter financially as we again were able to meet or exceed our guidance across the board. We generated pro forma total company adjusted revenues of $1.03 billion, which was at the high end of our expectations, despite foreign exchange pressures clearly coming in greater than we were facing 90-days ago. We are able to offset these incremental FX pressures with our pro forma organic revenue declining only 13%. This was driven by the company generating 9% pro forma non-COVID organic growth, which was above our 6% to 8% guidance. This growth includes an approximately 200 basis point headwind from significant pressures in some specific areas of our business in China, due to the continued lockdowns in the region. The double digit year-over-year decline we experienced in our immunodiagnostics business in China was in line with our expectations. These pressures were offset by continued strong double-digit non-COVID growth in our Diagnostics business outside of China, immunodiagnostics and continued double-digit organic growth in our DAS segment on a pro forma basis. Beyond our organic growth, the contributions from recent acquisitions added 8% to our total revenue in line with our expectations. Strong year-over-year growth from BioLegend helped contribute to mid-teens pro forma organic growth for our combined Life Science reagents portfolio overall in the quarter. While COVID-related revenues have continued to decrease meaningfully throughout the year, we were able to generate $54 million in total revenue from these products and services in the third quarter, which was slightly above our expectation. We continue to expect demand for our COVID-related offerings to decline sequentially and are assuming we reach our expected terminal run rate of $25 million per quarter of COVID-related revenues starting here in the fourth quarter. Finally, it shouldn't come as a surprise given what has occurred in the macro economy over the last few months, but foreign exchange was 6% headwind to our total revenue in the quarter. This impact was 200 basis points larger than we had projected in early August. From a margin perspective, we saw nice volume leverage and stronger pricing realization, while managing expenses well despite inflationary pressures continuing on a year-over-year basis. This led to pro forma adjusted operating margins of 26.3% in the quarter. Along with the organic revenue upside, this resulted in pro forma adjusted earnings per share of $1.51, which was $0.08 above the midpoint and $0.06 above the high-end of our expectations. Moving beyond the P&L, we continue to see solid cash generation in the quarter with adjusted free cash flow coming in at $144 million. We continued our deleveraging by paying down $58 million of debt in the quarter, including retiring our remaining $50 million of variable rate debt, resulting in a 2.4 times leverage at the end of the quarter. So far in the fourth quarter we have opportunistically retired an additional $45 million of our $1.3 billion of shorter duration debt, upon complete retirement of the shorter term debt over the next two years, we will have approximately $3.2 billion of debt outstanding at an average fixed interest rate of 2.6% with a seven year average duration. I'd now like to provide a bit more color on the performance of our businesses and what we are seeing in the end markets in which we participate. From a geographic perspective, our 9% non-COVID pro forma organic growth in the quarter was led by low double-digit growth in the Americas, while both Europe and Asia Pacific grew in the high single-digits. China was flat overall, but grew in the low double-digits, excluding the immunodiagnostics business, which was impacted by COVID lockdowns. When looking at our businesses, starting with our Discovery and Analytical Solutions segment, total pro forma revenue was $633 million in the quarter. This was up 23% year-over-year and represented 61% of our total revenue. Organically, this segment grew 12% on a pro forma basis with double-digit growth from pharma being partially offset by relatively flat performance from academic and government customers. We continue to see strong double-digit growth in our preclinical discovery business driven by strong growth in our imaging portfolio and as I previously mentioned, our overall Life Sciences reagent portfolio grew in the mid-teens year-over-year on a pro form a basis. Our informatics business continued to show strong organic growth and was up nearly 20% year-over-year. The applied analytical and enterprise services business that we intended to bet grew in the low double-digits, while our remaining Life Science business grew 14% organically overall in the quarter, and is on pace for strong double-digit growth for the full-year. Our Diagnostics segment generated $399 million of total revenue in the quarter, which was down 39% and represented 39% of our overall total revenue. Organically, the business was down 33%, due to significantly lower COVID volumes year-over-year. However, on a non-COVID basis, the business was up 5%, which included an approximate 500 basis point headwind impact from the China lockdown pressures that we faced in the quarter, primarily in our immunodiagnostics business. As previously mentioned, the lockdown related headwinds we face in China remain significant. These pressures that were in line with our expectations resulted in our immunodiagnostics business in the country being down in the mid to high-teens year-over-year organically. Outside of China, our immunodiagnostics business grew in the mid-teens organically excluding COVID, an improvement from the low double-digit to us up in the second quarter. These geographically differing rates of growth combined to result in low single-digit non-COVID organic growth for our immunodiagnostics business overall in the quarter. Our reproductive health business grew in the high single-digits on a non-COVID basis in the quarter as we saw strong growth in Europe and solid growth in both the Americas and Asia Pacific. Despite continued pressures on global birth rates, the high single-digit organic growth we saw in the quarter continued to be driven by a combination of new product introductions ramping up along with further geographic expansion in our new burn screening business. While still relatively small on an absolute basis, our prenatal screening business continues to also benefit from significant year-over-year growth from Vanadis, which is the only non-NGS-based NIPT offering on the market. In our Applied Genomics business, we saw mid single-digit non-COVID organic growth against a greater than 50% year ago comparison. This business, which provides instruments and kits that are used in DNA sequencing sample prep work, and other liquid handling has now grown at an upper teens rate on average over the last three years. It continues to benefit strong non-COVID demand from our pharma customers, success from recently introduced new products and likely some continued share gain. We look forward to the upcoming commercial launch before year-end of our recently introduced biofuel NGS sample prep system, which we expect will help bring more automation to an even broader set of potential customers. In total, the Life Sciences and Diagnostics business that will become the new company once the divestiture is finalized, grew 8% organically excluding COVID, which also included a 300 basis points headwind from lockdown-related pressures on our immunodiagnostics business in China. Looking ahead to the final three months of the year, we continue to remain in a very good position despite the macro concerns and currently expect no change in our previous outlook for the fourth quarter beyond the incremental FX pressures we are facing. We are expecting 8% to 9% non-COVID pro forma organic growth in the fourth quarter, which includes our assumption that we will continue to encounter material year-over-year declines in our immunodiagnostics business in China, due to lockdown-related impacts. We expect this to result in 9% overall non-COVID pro forma organic growth for the full-year. For just the Life Sciences and Diagnostics business, which will remain once we complete our planned divestiture, we are expecting approximately 8% non-COVID organic growth in the fourth quarter, which includes an expected 200 basis point headwind from lockdown-related pressures in China. For the full-year, this translates into approximately 9% organic growth in the business that will remain, which includes a 300 basis point headwind from the China lockdowns. We continue to expect $610 million of revenue from COVID for the full-year with $25 million expected in the fourth quarter as I mentioned earlier. With all of our recent acquisitions now fully in our organic growth base, we expect zero M&A contribution in the fourth quarter and anticipate M&A to contribute 7 points to pro forma growth for the full-year, the same impact we've been expecting since the beginning of the year, despite incremental FX pressures. We now expect FX to be a 7% headwind to pro forma growth in the fourth quarter, which is a few hundred basis points more of an impact than we had assumed three months ago. This brings our full-year assumed impact from FX to now be 5%, up from our prior 35 expectation. This guidance leads the fourth quarter to have expected total pro forma revenue and $1.06 billion to $1.07 billion range and $4.59 billion to $4.60 billion for the full-year. Moving to below the line items, we continue to expect $104 million of net interest and other expenses for the full-year with $25 million expected in the fourth quarter. Additionally, we expect the 20% tax rate this quarter leading to an estimated tax rate of 21% for the full-year, unchanged from our prior outlook. In terms of pro forma adjusted EPS, we are raising our full-year guidance to a new range of $7.89 to $7.91, which accounts for our outperformance in the third quarter and includes no change to our prior assumptions for the fourth quarter outside of the incremental FX pressures, I discussed. The fourth quarter pro forma adjusted EPS is expected to be in the range of $1.65 to $1.67. All of this guidance is detailed on the second to last page of today's earnings presentation that is on our new investor website. In closing, while macro uncertainty still remain, I feel great about how we are positioned as a company moving forward. We've consistently shown our ability to perform abd execute at a high level despite unexpected challenges and are confident in our ability to work towards a smooth closing of our proposed divestiture and to achieve our full potential thereafter. There is an incredible opportunity in front of us at PerkinElmer. We have the team, we know how to execute and we are hungry to help define the future of Life Sciences and Diagnostics, while continuing to deliver long-term value to our shareholders, we couldn't be more excited. With that, operator, at this time we would like to open up the call to questions.
Operator: Thank you.  We have our first questions comes from Dan Arias from Stifel. Dan, your line is now open.
Dan Arias: Good morning, guys. Max, obviously a lot of moving parts on COGS these days, so on the gross margin profile, how are you feeling about the 60% level that you talked about post-spin or that you guys talk about post-spin just given that it looks like you're more like the mid-60s right now? And then on the op margin line, the 30% target, 30%-plus, just curious how the allocated cost piece influences the ability to get there post-spin? Do you think that happens more towards the end of the year? Where can that be at that level closer to 1Q following the completion of the deal?
Max Krakowiak: Yes. Hey, Dan. So I think maybe starting with the first question on the gross margin. I would say we are very confident in the ability to be sort of the 60%-plus range coming out of the gate in terms of the remaining business. If you think about the gross margin level we had in the third quarter coming in at the mid-50s, you had to remember too that had the mix of the AES business, which we are divesting, which is dilutive to the overall company mix. And so again, we feel very confident in the 60%-plus gross margin exiting the divestiture. And then on the overall operating margins, the way I would think about the 30% is that is what we will achieve in the first 12-months post deal closure. Obviously, there's a little bit of timing noise with when it will close here in Q1. But in the first 12-months, the 30% is what we are targeting for the overall company.
Dan Arias: Okay, helpful. Maybe on Diagnostics, what's the current thought on just the recovery for ImmunoDx in China? How that might shake out? And then when we think about next year, how much does the 10%-plus organic target depend on a rebound there to start â23? Prahlad, I think last quarter you said that you expect to be at the 10%-plus level after the close. So just checking to see whether you think the diagnostic business is expected to sort of be in a place that allows that to happen early in the year? Thanks, much.
Prahlad Singh: Yes. Thanks, Dan. Good morning, again, I think on both of them, as we've talked about the immunodiagnostics business, it is performing well out outside the lockdowns ex-China, but even in China, it is pretty much -- it was in line to the expectations that we had in third quarter as to what it would do. And the assumption that we have made and I think it's declining high-single is what our assumption is for the fourth quarter and we expect it to be in that range. Going into next year, obviously, one is naturally the comp would be much easier for the IDX China business. But overall, just with the NPIs that we have in place coming out of reproductive health, the health of the Applied Genomics business and China coming out of the lockdowns, we feel pretty good about the numbers that we have for diagnostics too.
Operator: Thank you. We have our next question comes from Derik de Bruin from Bank of America.
Derik de Bruin: Hey, good morning. Thanks for taking my question. Hey, just can you sort of talk about, I was bouncing around a little bit this morning, but can you talk a little bit about just for some of the dynamics, particularly in Europe that you're seeing right now? And also just your generally preliminary thoughts on FX headwinds for next year and interest expense, I know you're paying down some debt, but just some general guidance so we can help trying to itterate those numbers? Thanks.
Max Krakowiak: Yes. Hey, Derik. So starting with the Europe question, so in the third quarter, we saw Europe performing for the remaining business was in the low double-digit range and that was with both DX and Life Sciences, relatively around the same level. I think as we look towards Q4, we anticipate still I think strong performance in the Life Sciences business, Diagnostics had a really strong third quarter across all end markets. Maybe that's a little bit slower here in the fourth quarter. But I'd say overall, we are not seeing anything that is a major concern in Europe. And then moving over to your comment on interest expense for next year, the interest expense is, although we are paying down some debt, I think the important thing to note is that the debt that we will be paying off will be at a very low interest rate. So the $1.3 billion that weâre coming due over the course of the next two years, the interest expense is less than 1%. So, although there will be some benefit, I don't think it will be something that will be overly material. And then on your last question for FX for next year. Right now, we are impacting FX to have about 3% headwind to 2023 revenues.
Derik de Bruin: Got it. Thank you. And any -- are you still expecting to take -- I mean, what was the price realization in the quarter? And are you still expecting to take price next year?
Max Krakowiak: Yes. So I think for the third quarter in price, we were pleased with the results. It's going to get a couple of dynamics there. So one, if you remember in the first quarter, I think we did 75 basis points, in the second quarter, we did about 150 bps, and in the third quarter, we saw more than 200 basis points from a pricing and that's kind of in line with what we had expected to see. We do anticipate that again, kind of, stepping up here in the fourth quarter. As we've talked about, it takes a while for all of your annual contracts to renew. And then we do expect to have elevated price performance again in 2023. Yes, I think this is one of the areas that we've been most pleased with our ability to operationally execute this year and we expect it to continue for next year. And then I apologize, was there a second question in there as well?
Derik de Bruin: No, that was it. Thank you.
Max Krakowiak: Yes.
Operator: Thank you. We have our next question comes from Jack Meehan from Nephron Research. Jack, your line is now open.
Jack Meehan: Thank you. Good morning. I wanted to follow-up on Derikâs first question and just get any updated thoughts on the speed at which you'll redeploy proceeds after the spin? Just trying to think about NewCo EPS in 2023, it sounds like M&A as you preference especially given the fixed rate debt at low interest rates? Is an ASR something you would consider to offset some of the spin dilution?
Prahlad Singh: So, you know, let me take the win on the broader strategic level, Jack. As you've said, right, you know, we will continue to be diligent on how we deploy capital as it comes through and no. We'll continue to look at the three combination that we've talked about earlier, whether it's being opportunistic on share buybacks, on paying down debt and on the M&A side. Again, on the M&A side, our number one focus is to ensure a smooth close to the transaction that we've announced and ensure the integrations that we have ongoing on the acquisitions that we have made are complete, which to a big degree they are already there. And then look at opportunistic deals that we can do that would fit to any gaps that we might have on our portfolio. So that trend is not going to change and I think we'll continue on that path. Was there a second part, do you mention, Jack?
Jack Meehan: I don't know if you want to address specifically in ASR. Is that something you would consider?
Prahlad Singh: Max, go ahead.
Max Krakowiak: Yes, I think as Prahlad mentioned, I think the priority for capital deployment after paying back the short-term debt over the next two years is going to be from an M&A, an organic investment standpoint, which we do have other areas that we are very excited about. I mean, obviously, we'll continue to watch with slowing down with the market, but I don't think the share buyback or ASR is the primary focus of capital deployment.
Jack Meehan: Fair. Okay. And then the follow-up, just on BioLegend, by my math based on the M&A contribution in DAS, it looked like it had a nice sequential step up in revenues. So I was wondering if you could just talk about maybe any quarterly dynamics and how that business is performing?
Prahlad Singh: And again, Jack, I think the answer you'll get from us is the same. Our Life Sciences Reagents business overall did very well, including BioLegend, all of it has had strong low double-digit growths overall. And it continues to perform in life -- in line with our overall reagents growth business that we are seeing at mid-teens from a pro forma growth perspective and continues to do well, we could not be happier with their acquisition. Teamâs performing and executing on all fronts. Thanks, Jack.
Operator: Thank you.
Steve Willoughby: Operator? Thank you.
Operator: We have our next question comes from Josh Waldman from Cleveland Research. Josh, your line is now open.
Josh Waldman: Good morning. Thanks for taking my questions. A couple for you on RemainCo, I think you said RemainCo grew 11% ex the China lockdown headwinds. And that was -- I think that was with a softer academic end market. Can you remind us RemainCo's exposure to academic and government and any color on how RemainCo performed in those accounts? And then as we look at the or think about the comp set up for â23 in light of a softer academic, I mean, does that change the dynamic as presumably those accounts start to come back online more fully?
Max Krakowiak: Yes. So I think speaking maybe overall to the academic and government portfolio that we'll have for the remaining business, it will kind of be a high single-digit percentage of the overall company. And then to answer your second question on how does it impact the 10% for next year? I think, look, there's obviously puts and takes across portfolio, but I think, again, we feel confident in our ability to hit 10% plus organic growth next year and I think that's part of the assumption.
Josh Waldman: Got it. Thanks. And then it would be helpful to hear you talk through how synergies are tracking across the five to six or so acquisitions you've done in the last two years. I guess any examples you could point to that suggests you've seen improved customer adoption, because these assets are now within the PKI platform? And then how that's being considered in your -- I guess 10% plus organic growth guide for RemainCo in â23?
Prahlad Singh: Yes. Hey, Josh, this is Prahlad. I think the -- you know, the answer to your second part of the question is that the number that we have put out 10% organic growth includes synergies, because all the acquisitions are now pretty much integrated. I gave two examples of synergies that we are already seeing on the technology front in my prepared remarks, the Celleca system that Nexcelom launched has BioLegend antibodies that are attached to it. The other one is if you look at the T-SPOT approval that we got from the automation component that has around it as the liquid handling capability, et cetera, that comes the legacy PerkinElmer applied genomics business. So those are two very near-term examples or real life examples of how the integration is already, itâs not a work in progress anymore, itâs actually in motion and it's being executed as we speak.
Josh Waldman: Got it. Appreciate it, guys.
Prahlad Singh: Yes.
Operator: Thank you, Josh. We have our next question comes from Catherine Schulte from Baird. Catherine, your line is now open.
Catherine Schulte: Hey, guys. Thanks for the questions. First, now that the COVID side of your business was moderated, what are you seeing in terms of early signs of your customers shifting that capacity to non-COVID applications? And how do you view what that tailwind could look like for the non-COVID diagnostic side in â23 as COVID testing further winds down?
Prahlad Singh: Welcome back, Catherine. I think the way I would look at the COVID portfolio, right? I think, again, it will be -- it will continue. And then again, my speculation is as good as anybody is on this. It continues to be sporadic in nature and it continues to be regional in nature. For example, you have this sporadic lockdowns in China that I think over the next couple of quarters will continue to be deployed. Post-schools opening or post-vacation in Europe, we saw a slight spur in that, so I think as we go forward, the $100 million baseline that we have assumed for 2023 will essentially be a combination of what we provide in terms of our chemagen portfolio, PCR's, instruments and a combination of all thereof. And then I think the $100 million number is the baseline that we would assume for 2023.
Catherine Schulte: Okay, got it. And then for China, can you just talk a little bit about what your overall growth expectation is for the fourth quarter? And I know in the past you have not been impacted by any volume based pricing initiatives or tender processes, but anything new you're seeing on that front in China, primarily on the diagnostic side?
Max Krakowiak: Yes. So Catherine, maybe to answer the tactical question of our expectations for China here in the fourth quarter, so again, China is the one region where we have seen the pressures from the immunodiagnostics business. But overall for the remaining business in China for the fourth quarter, we are expecting about high single-digits growth. Obviously, if you then normalize it for the IDX headwinds, which we have assumed is a negative high single-digits here in the fourth quarter. China would be even better than that excluding that portfolio. But I think we are very confident of what we're seeing in our China business and the team continues to perform very well.
Prahlad Singh: Yes. And to your second question, Catherine, I think we have not yet seen pricing based pressure, but it's not going to be too far. Eventually, it will start showing up. As we've talked earlier, it's more on the routine testing that you have -- that people are seeing pressure on tenders, but I think eventually it will get there. But on the con side to that, I think the lower -- the more mass pricing model will bring more people into testing. So the overall volume growth will hopefully help take care of any impact that we will have from pricing.
Catherine Schulte: Okay, great. Thank you.
Prahlad Singh: Yes.
Operator: Thank you. We have our next question comes from Liza Garcia from UBS. Liza, your line is now open.
Liza Garcia: Great. Good morning, guys. Thanks so much for taking the question. I guess, first of all, sticking on the topic of China and kind of thinking about made for China -- in China. Can you provide an update on kind of where you sit with the diagnostic business and localization of manufacturing and kind of how that's ramping? I know that you had a facility in Beijing that came on this year?
Prahlad Singh: Yes. Liza, so on the reproductive health side outside of Shanghai, we pretty much have transferred most of our products that are manufactured, developed in China for China and the local products have an NPA approvals. It was on -- in Beijing was on the EUROIMMUN side of the business, where we had started transitioning products for China in China. I would say probably 35% to 45% of our EUROIMMUN portfolio for China is now manufactured in China and hopefully the rest of it will be done in 2023.
Liza Garcia: Great. Super helpful. And then maybe in this -- but I haven't heard any backlog commentary. I would love to kind of just kind of get some if you could just maybe speak to the backlog and kind of the trends you're seeing there and kind of how it gives you some maybe some confidence in 4Q and whether it can give you any early reads into 2023?
Max Krakowiak: Yes. So from a backlog perspective, I would say overall, we are still at an elevated level versus historical -- from a historical perspective. And as we continue to kind of work through some of the supply chain challenges, that picture really hasn't changed as much quarter-over-quarter. Obviously, as the supply chain picture gets better, we will continue to burn through that backlog, but I think we feel very confident with the setup we have from backlog perspective, and we didn't see any sort of significant erosion in the third quarter. It's kind of business as usual.
Liza Garcia: Great. Thanks so much guys.
Operator: Thank you. We have our next question comes from Matt Sykes from Goldman Sachs. Matt, your line is now open.
Matt Sykes: Hey, good morning, guys. Thanks for taking my questions. Maybe just to start on reproductive health, you know, you had high single-digit organic growth in the quarter. Obviously, the birth rate is consistent headwind going forward. But can you maybe talk about some of the trends you're seeing in reproductive health driving that high single-digit organic growth? And then any update on Vanadis in terms of installed base and growth for that instrument?
Prahlad Singh: Sure, Matt. I think, you know, the -- one of the drivers of growth for reproductive health is the one you pointed out in the latter part of your comment, which is Vanadis. As it -- even though as Max said, it starts off a small base, its continued growth is obviously favorably impacting reproductive health. We've also talked a lot about the new NPIs that we continue to launch. So menu expansion, geographic expansion continues to help us despite the pressures that we have from both rates. And I think even on the birth rate side, I would say the U.S. has turned around the corner and we tend to have more real time data. And I think, you know, the birth rate trends in the U.S. are ticking back upwards. So I would say those are the three drivers, Matt that are negatively impacting the reproductive health segment. 
Matt Sykes: And then Max maybe just on overall customer inventory levels in Life Sciences? I'm sure shelf life kind of mitigates some of this. Could you maybe talk about any kind of customer level customer inventory levels as you see that you saw in this quarter and moving forward?
Max Krakowiak: Yes, Matt, I don't think we've seen anything that's âout of the ordinaryâ. Again, our Life Sciences business in the third quarter grew mid-teens and we continue to be excited about what we're seeing from an order perspective. But overall, I don't think we're seeing anything abnormal from a customer inventory level.
Prahlad Singh: Yes. And also Matt, if you , remember we've talked about this, right? 80% of our revenue is a regular run rate business for RemainCo now. And these are all vials and assays and tests. So it's not that customers are going to keep a whole lot of inventory for those products. So it really does not -- it becomes a moot issue for us going forward.
Matt Sykes: Perfect. Thanks for the color.
Prahlad Singh: Yes.
Operator: Thank you. We have our next question comes from Vijay Kumar from Evercore ISI. Vijay, your line is now open.
Vijay Kumar: Hey, guys. Thanks for taking my question. Congrats on the steady print share. Prahlad, maybe my first one for you, so I've shared all the color on the outlook for the base business, confidence in double-digit organic for fiscal â23. But what is the right base in fiscal â22, when you think about year-to-date trends in the base business and the implied Q4 guidance? I think we get to $3.3 billion should be back out $600 million of COVID. Is $2.7 billion the right base? Or I think in the past you've spoken about $100 million of sustainable COVID revenues. Is that baked into that $2.7 million? Or maybe just give us some color on what is the right number?
Prahlad Singh: Yes. Vijay, so from a base business perspective, let's first start with the 2022 results. I think overall for 2022 for the base business, our guidance implies 9% organic growth and that is with a 300 basis point headwind from our IDX China business. So if you normalize for that, our remaining business is growing low double-digits for 2022. In terms of the modeling for next year, so if you take the $3.3 million, the way I do it is back off the $600 million of COVID and then add back $100 million for -- run rates that should get you to about $2.8 million for your base.
Vijay Kumar: That's helpful. And then maybe one on margins here at 3Q, I'm assuming 3Q is the right run rate given minimal COVID revenues. We get to RemainCo  (ph) margins of 31.4% and I think you noted 30%-plus confidence in fiscal 2023. Is the delta between $30 million and $31 million plus dis synergies?
Prahlad Singh: Yes. So I'd say Vijay, there's a couple of dynamics in play there. And maybe first, just to correct one point, I wouldn't say there is minimal COVID levels in Q3, if you sort of quarterize $100 million you get to about $25 million a quarter versus the $54 million that we did in 3Q. So it's still elevated from a COVID standpoint. In terms of the margins, for -- I think what you're asking is basically how do I think about the continuing ops margins versus the margins that we expect for the remaining business going forward? And I would say there's really two dynamics you need to consider. One is because of discounts reporting, we are required to keep all shared costs in continuing ops. So that's extra cost that the continuing ops P&L is burdening. The second piece is that again in 3Q, we had elevated COVID and I think for full-year of 2022, weâve got $600 million of COVID, which is not the COVID expectation we will have for next year. And I think we've been pretty consistent saying in the past that COVID is an elevated gross margin versus our normal company average. And so those are two variables you need to consider. But overall, we are very confident in the 30% margin that we will have in the first 12-months post deal closure.
Vijay Kumar: Sorry, just to clarify that 31.4% in 3Q for RemainCo LSDX operating margins, that includes trended costs.
Max Krakowiak: And in theory, it does because again, if you think that's what I mentioned with the discounts reporting gross we are required to keep the extra shared costs in continuing ops P&L. And so yes, you could think of it similarly to trended costs, itâs not the exact same dollar amount, but yes, the concept is the same.
Vijay Kumar: Thank you, guys.
Operator: Thank you. We have our next question comes from Patrick Donnelly from Citi. Patrick, your line is now open.
Unidentified Analyst: Hey, this is  (ph) on for Patrick. Maybe just a follow-up on gross margin, it sounds like you expect to continue to have elevated price performance in the fourth quarter of next year. So just curious what you're seeing maybe on the input cost side and anything to flag across the supply chain or logistics there?
Max Krakowiak: Jason, I'd say there's anything to necessarily flag, I think we've seen somewhat of a steady state quarter-over-quarter from an inflation product standpoint. I think also we've been consistent in the past saying that the inflationary pressure we are seeing on the divested business is much greater than what we are seeing on the Life Science and Diagnostics side. That's not to say it doesn't exist on the Life Science and Diagnostic side, but it's not at the same level of materiality. And then look, I'd say from a gross margin productivity standpoint, you're absolutely right. We are seeing continued good traction from a pricing perspective and then we've also got productivity initiatives that are ongoing well across logistics and freight that are starting to bear fruit here. And so I think we're feeling pretty confident with the gross margin performance of the remaining business.
Unidentified Analyst: Got it. That's helpful. And then maybe just a follow-up on China, you mentioned you might be expecting another few quarters of lockdowns there? And then another couple of 100 basis point headwind in the fourth quarter. So 423 in that 10% percent number, are you baking in any assumptions for prolonged markdowns in the year? Thanks.
Prahlad Singh: Well, I think from our perspective, we are assuming for business to start getting back to normal in China with the lockdown still easing down. I think the obvious thing would be from an comp perspective, it would be a very easy comp to overcome. And that's assumed in the guidance there.
Operator: Thank you. We have our final questions from Max Masucci from Cowen & Co. Max, your line is now open.
Max Masucci: Hey, thanks for taking the questions. So the California prenatal screening program kicked off on September 19, shortly after we did see a promotion for a preliminary injunction, some companies are excluded. But -- and just be great to hear some high level thoughts around your experience with the California prenatal screening program so far? And then just any expectations for how the program could contribute to reproductive health growth?
Prahlad Singh: Hey, good morning, Max. So yes, the program went live in California for us early October. I would say, look, the injunction doesn't really impact our existing business there and things could always change, but we are just in the process of currently starting to ramp up. And in terms of the impact, as we've talked about, the way to look at it is to measure the performance of our overall reproductive health business, of which Vanadis and prenatal is a part of. And we expect that to continue to show a healthy growth trend. So doing well, but it's just in its early stages of ramp up, I guess. It's the way I would think of.
Max Masucci: Great. And then can you just maybe give us a sense for how many of the MX cell counters are placed in the field? Or just how many of those customers are logical adopters of the PLX bench top system? And then whether you do consider that the PLX launch a meaningful new driver of BioLegend antibody evidence?
Prahlad Singh: Yes, Max. Weâll continue to sell both obviously the MX and the PLX. I think the MX is a significant upgrade to the PLX is a significant upgrade to the MX product, which is out there. As I mentioned earlier, the benefit of it is it does both be cytometry and cell counting while maintaining the viability of the cells and it also allows us the opportunity to attach BioLegend antibodies to it along with the software that goes with it. In terms of how many units and how many numbers of you know MX or PLX are there? I really don't have, you know, exact number that I can share with you. And then I think the way I would measure is continue to look at the performance of our overall Life Sciences business rather than a particular product. Nexcelom is being a great acquisition, itâs probably been one of our biggest success stories and how smoothly the integration has gone. And the way the teams have worked across in terms of combining it with the total workflow that we present to our customers, it's been a home run for us.
Max Masucci: Great. Thanks for taking the questions.
Prahlad Singh: Yes, Max. Thank you.
Operator: Thank you. We have our next questions comes from Rachel Vatnsdal from JPMorgan. Rachel your line is now open.
Rachel Vatnsdal: Perfect. Thanks for squeezing me in. So just first off, on Oxford Immunotec, great to hear that you guys got the FDA approval of T-Cell Select. So can you just talk about if that was really in line with your expectations for timing? And then how much material could that approval be?
Prahlad Singh: Good morning, Rachel. Again, what was approved by the FDA in terms of timing, we had expected it to come in the mid to late summer and that investment where it ended up. I think in terms of the impact it does is that obviously as you probably know U.S. represents slightly more than 50% of the global latent TB testing market. So from a revenue perspective, it will be very beneficial that while the clinical superiority of the Oxford's test, is known. It did require more labor to produce a result. So what it does now is now with this approval and addition of the workflow, it allows for much more efficient workflow to be in place. And then I think working with our partner in the U.S., which is a question or we have -- we look forward to this becoming making it much more competitive and much more automated in the U.S. marketplace.
Rachel Vatnsdal: Great. And then just a follow-up on some of the earlier questions about capital deployment, you guys have said that M&A is going to be one of the main priorities post-divestiture. So can you just spend a minute talking about how private valuations have been in that M&A market? And then on leverage, just what type of leverage would you guys stretch to on RemainCo, post-divestiture onto the  that many deals that you plan to deal? Thanks.
Prahlad Singh: Yes, Rachel. I think we'll continue to be investment grade. Let's start there, so that's not going to change. In terms of the valuations on the private side, I mean, as you know very well, the kinds of deals we do, they do not happen overnight and we tend to be much more focused on founder entrepreneur, kinds of, companies. And I would say that they really have not -- there hasn't really been much change in the expectations for potential targets in that space, because those generally do not tend to be in a hurry to sell off their businesses and it does take time. Again, we are not in a rush either. We will continue to be very diligent and very strategic and the acquisitions that we will bring to the table. So I would say that we haven't seen much meaningful change in anything versus what it was, I would say, two, three quarters ago is probably the best way to answer your question.
Operator: Thank you. We have no more further questions on the line. I will now hand back to Steve Willoughby for closing remarks.
Steve Willoughby: Thank you. Thank you everybody for your time and your questions this morning. We look forward to speaking with you again next quarter and happy voting. Take care.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for joining. You may now disconnect your lines.